Operator: Good day, ladies and gentlemen. Welcome to the Vista Gold’s First Quarter 2016 Financial Results and Update on Recent Activities Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. Today is Tuesday, May 3, 2016. It is now my pleasure to introduce Vista’s President and CEO, and your host, Mr. Fred Earnest. Please go ahead, Mr. Earnest.
Frederick Earnest: Thank you very much. Good afternoon, ladies and gentlemen. Thank you for joining Vista Gold Corp’s first quarter 2016 annual financial results and corporate update conference call. I’m pleased to be joined on this call by Jack Engele, our Senior Vice President and CFO; and Connie Martinez, our Director of Investor Relations, both of whom are in our corporate office in Denver. The first quarter of 2016 has been marked by a significant change in sentiment toward gold and renewed interest in gold equities and particularly in developers highly leveraged to a rising gold price such as Vista Gold. In the first quarter, our share price improved 71.4%. And after four months, our share price had improved 189% year-to-date. During the same time periods the Market Vectors Junior Gold Miners ETF, also known as GDXJ, improved 45% and 100% respectively, while the price of gold improved 16.7% and 20.8% respectively. With cash and short-term investments of approximately $12 million and no debt, we believe the basic activities of the company are now funded into 2018. Jack Engele will discuss our financial results in greater detail after I conclude these introductory remarks. We continue to focus on the Mt Todd gold project in Australia. We are presently working to gain the approval of the one remaining federal environment authorization and are undertaking technical evaluations that we hope will improve project economics and help advance the project toward development. I will discuss the Mt Todd gold project in greater detail later call in the call. In the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of Vista to be materially different from any future results, performance or achievements expressed or implied by such statements. Please refer to our Form 10-K for a detailed discussion of risks other important factors that could cause actual results to differ materially from those in our forward-looking statements. I will now turn the time over to Jack Engele.
John Engele: Thank you, Fred. Good afternoon, everyone. I’ll start with our balance sheet and liquidity. Our working capital totaled approximately $14 million at March 31, 2016. This includes cash and short-term investments of $12 million. Our short-term investments are comprised of U.S. and Australian treasury bills. The company has no debt. Turning to our statement of income and loss for March 31, 2016, for the quarter we reported a net loss of $0.7 million or $0.01 a share. This loss includes $2.2 million of operating expenses, partly offset by a R&D tax rebate of $0.7 million. That rebate is related to expenditures we incurred in fiscal 2014, offset also by an unrealized mark-to-market gain of $0.5 million on a remaining 7.8 million Midas shares and $0.3 million in other income. The main components of the $2.2 million of operating expenses were $0.7 million of fixed site management costs at our Mt Todd gold project, $0.2 million from Mt Todd discretionary technical studies, and completion of a drilling program that had started in 2015, and fixed corporate G&A costs of $0.9 million. Annually, Q1 costs typically run a little higher than subsequent quarters because of water treatment and discharge activity at Mt Todd and a concentration of regulatory activity at the corporate level. Compared to Q1 2015, total Mt Todd fixed cost in Australian dollar terms remained fairly constant. The more favorable U.S./Australian dollar exchange rate in 2016 partly offset the cost of 2016 Mt Todd discretionary programs. Our corporate G&A costs were substantially unchanged from Q1 2015. Looking ahead, at Mt Todd we expect our 2016 fixed costs to average approximately $650,000 to $750,000 per quarter, assuming the U.S./Australian dollar exchange rate remains more or less in the current range. In addition, we’re prepared to consider selected discretionary programs such as the technical studies and that Fred has commented on and possibly exploration programs that could be expected to add value at Mt Todd. Our 2016 corporate G&A expenses are expected to average approximately $750,000 up to $850,000 per quarter. We believe that we have sufficient cash to fund our basic fixed cost into 2018. The scope of any discretionary programs that we may introduce could affect that timing of course. We expect to continue to fund the company through non-dilutive means, which includes finding a partner for the Guadalupe de los Reyes project and a buyer for our used mill equipment. Future Australian R&D incentive rebates, if any, are expected to be significantly smaller than those we receive to-date. That concludes my comments. Fred will now continue with an update on recent events at Mt Todd.
Frederick Earnest: Thanks, Jack. I’m pleased to announce that our Mt Todd site management team is approaching four years without a lost-time accident. We’re very pleased with our health, safety, environmental and social responsibility achievements; and take our stewardship in these areas very seriously. In December 2015, we filed our request for an authorization of a controlled activity with the Commonwealth Department of Environment as required by the Environmental Protection and Biodiversity Conservation Act. In March, we were notified that the Department of Environment had requested additional information. We are working with our consultants and the Department of Environment to satisfy this request, and ultimately achieve the desired authorization. Turning to the technical and economic aspects of Mt Todd, as we reported in our last project update, we retained a team of experienced and highly respected industry experts to review key areas in the project. Their work has been completed and a couple of potential opportunities to improve the gold recovery have been identified. We have recently shipped over 1,000 pounds of cone-crushed rock from Mt Todd for additional metallurgical test work to be completed in Denver, Colorado. This test work is scheduled for completion in the second quarter. We will subsequently evaluate the results and determine if there are follow-on opportunities for planned capital cost reductions. We are currently also evaluating other strategies which could improve the capital cost of the project. In conclusion, the recent gold price improvement confirms what we have stated previously, that is Vista continues to provide its shareholders with exceptional leverage to improving gold prices. We are focused on positioning the Mt Todd project to be advanced toward development as the market conditions improve. We continue to seek every opportunity to create value for our shareholders. We believe that the cash and short-term investments that we possess will allow us to fund our corporate obligations and fixed costs into 2018. We remain focused on the effective use of financial resources and expect to continue to be able to maintain a solid balance sheet. As noted previously, through the end of April our share price had improved 189%. We believe that this leverage to the price of gold is a manifestation of the market’s recognition of the value of the work that has been completed to position the Mt Todd project for advancement toward development. We are pleased with our share price growth and continue to believe that Vista is a compelling investment opportunity. We will now respond to any questions from the participants in this call.
Operator: [Operator Instructions] All right, we have a question from the line of Adrian Day. Please go ahead, sir.
Adrian Day: Yes, hi, Fred and others. Nothing wrong with holding cash, of course, but are you still looking at other opportunities and what are you seeing generally in that regard?
Frederick Earnest: Hi, Adrian, thanks for the question. Yes, Adrian, we continue to have an effort of looking at other projects, things that might be suitable for the appropriate acquisition by Vista. Quite honestly, it seems that about 2% of the projects that we look at meet our criteria. And only a fraction of those management teams that meet our criteria actually have any interest in engaging in any sort of a dialogue. We find that the market is generally underscored by the fact that, while it would seem that this is a great buyers’ market that things are on sale underpriced, undervalued, management teams tend to think that their value is far below what they’d be willing to engage in a transaction for, even on a, say, a BWAP [ph] market valued open-book sort of comparison or analysis. So while we continue to look and evaluate and seek opportunities, there’s not been anything that we’ve been able to advance that would meet our criteria for a transaction we think would be accretive to the best to shareholders.
Adrian Day: Okay, great. Thank you.
Operator: [Operator Instructions]
Frederick Earnest: Eliya, it seems that there are no further questions. I might just offer one last comment.
Operator: Of course, sir.
Frederick Earnest: We have received many questions with regards to our recent significant improvement in share price and trading volumes. I would just comment that given the increase in trading volumes was sustained, that would put pressure on our share price during periods that do not necessarily correspond to similar day-to-day movements in the price of gold, and the fact that we continue to test and extend our 52-week highs with the exception of the pullback that we’ve seen in the last couple of days, we’re inclined to believe that momentum traders and potentially subscribers to newsletters who are looking for leveraged investment opportunities are the driving force behind this activity. As there are no further questions, I’m going to take this opportunity to our wrap up this call. We would like to thank everybody for their continued interest and support to Vista Gold. Thank you for your time on the call this afternoon. And we wish everyone a very pleasant and good afternoon. Thank you.
Operator: Ladies and gentlemen, this concludes the conference call for today. You may now disconnect your line and have a great day.